Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q4 2021 Sonoco Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that, today's conference is being recorded. [Operator Instructions] I would now like to turn over to your speaker for today, Roger Schrum, Vice President Investor Relations. You may begin.
Roger Schrum: Thank you, Towanda, and good morning, everyone, and welcome to Sonoco's Fourth Quarter and Full Year 2021 Investor Conference Call. Joining me today are Howard Coker, President and Chief Executive Officer; Rodger Fuller, Executive Vice President; and Julie Albrecht, Vice President and Chief Financial Officer. A news release reporting our financial results was issued before the market opened today and is available on the Investor Relations website at sonoco.com. In addition, we will reference a presentation on our fourth quarter financial results, which was posted on the website this morning. Before we go further, let me remind you that, today's call and presentation contains a number of forward-looking statements based on current expectations, estimates and projections. These statements are not guarantees of future performance and are subject to certain risks and uncertainty. Therefore, actual results may differ materially. Furthermore, today's presentation includes the use of non-GAAP financial measures, which management believes provides useful information to investors about the company's financial condition and results of operations. Further information about the company's use of non-GAAP financial measures, including definitions as well as a reconciliation of those measures to the most closely related GAAP measure is also available in the Investor Relations section of our website. Now with that, I'm going to turn it over to Julie.
Julie Albrecht: Thank you, Roger. I'll begin on slide 3, where you see that earlier this morning, we reported fourth quarter earnings per share on a GAAP basis of $0.66 and base earnings of $0.90 per share, which is the high point of our guidance range of $0.84 to $0.90 per share and $0.08 greater than the base EPS we delivered in the fourth quarter of 2020. Our fourth quarter operational results were driven by favorable total productivity and importantly also by positive price/cost. These factors were partially offset by unfavorable impacts from lower volume mix solely driven by four less shipping days in the quarter, as well as the divestiture of our Display and Packaging business. Now, moving to our base income statement on slide 4. And starting with the top line, you see that, sales were $1.439 billion, up $63 million or nearly 5% over the prior year period. I will review more details about our key sales drivers on the sales bridge in just a moment. Gross profit was $264 million, $11 million below the prior year. This resulted in an 18.3% gross profit as a percent of sales compared to 20% in the fourth quarter of 2020. SG&A expenses, net of other income were $143 million, an $11 million reduction year-over-year. This decrease was expected and was mostly driven by different timing for incentive comp expenses in each year. So, all of this resulting in fourth quarter operating profit of $125 million. I'll discuss the key drivers on the operating profit bridge in a few minutes. Net interest expense of $12 million, was a $6 million reduction from the prior period due to lower debt balances and a lower average interest rate. Income tax expense of $27 million was $1 million higher than the prior year's quarter, reflecting our higher pre-tax earnings as our effective tax rate was relatively flat quarter-over-quarter. Moving down to net income. Our fourth quarter 2021 base earnings were $89 million compared to $83 million in 2020, an increase of approximately 7%. Now looking on the sales bridge on Slide 5, you see volume was lower by $38 million or almost 3%, driven by our consumer and industrial segments and somewhat mitigated by stronger demand in our All Other group of businesses. It is important to note that we had four less shipping days in the fourth quarter prior to the fourth quarter of 2020, which reflects around a 6% headwind. So adjusting to a same-day basis, our total volume mix actually increased by approximately 3%. Consumer Packaging volume mix was down $22 million or almost 4%. But when adjusted for the same number of days this segment's volume increased in the low single digits. This was driven by solid demand improvement in flexibles and plastics spoon while global rigid paper containers was down slightly, as volumes did drop off in late December as certain key customers were negatively impacted by COVID and supply chain issues. Industrial Packaging volume mix was down $26 million or almost 5% but actually higher by 1% to 2% when adjusting for the same number of days. On this adjusted basis, global tubes cores and cones experienced stronger demand but this was mostly offset by lower volumes in our global paper operations. Finally, our All Other group saw volume mix grow by almost 6% but increased by an estimated 12% on the same-day basis and all of this is adjusted to exclude the Display and Packaging divestiture. This stronger demand was driven by our industrial plastics and our ThermoSafe businesses. So moving down the sales bridge to price. You see that selling prices were higher year-over-year by $204 million as we continue to battle inflation globally. Around two-thirds of this increase was recognized in our Industrial segment, driven by both contractual and open market price increases. Moving down to divestitures and acquisitions. You see a top line negative impact of $88 million, which is driven by the divestiture of our former Display and Packaging business in the All Other group. And finally, the sales impact from foreign exchange and other was negative by $16 million and the primary driver was the negative foreign exchange translation impact from the stronger US dollar year-over-year. Moving to the operating profit bridge on Slide 6 and starting with volume mix. Our lower sales volume driven by the four less shipping days and combined with the impact of mix had a negative impact on operating profit of $20 million. Next is the impact of total productivity, which added $14 million of earnings year-over-year with a favorable impact being predominantly in our consumer segment. Moving to price cost. I will remind you that this category includes the earnings benefit, from higher selling prices, as well as, the impact of total inflation. In the fourth quarter, we had $11 million of favorable price/cost with most of this impact falling in our Industrial segment. As usual, there is a slide in the appendix that shows Southeast OCC official board market pricing. There you'll see the trend of declining OCC prices during the fourth quarter of 2021 and this trend does continue in early 2022. Moving to divestitures and acquisitions. You see that the divestiture of our former Display and Packaging business reduced operating profit by $10 million. Moving now to the segment analysis on Slide 7. You see that Consumer Packaging sales were up by 3.3%, driven by higher selling prices which were mostly implemented to offset cost inflation. Our consumer segment operating profits fell by 14.2% driven by unfavorable price/cost as well as lower volume due to fewer shipping days. And both of these were partially offset, by strong productivity results. Our consumer segment margin declined to 9.6% versus the fourth quarter of 2020 when their margin was 11.6%. Moving to our industrial segment. Sales grew by 20.5%, due to year-over-year price increases, partially offset by lower volume solely due to the fewer days in the period. Industrial's operating profit surged by 32.6%, driven by favorable price/cost, partially offset by lower volume. Our industrial segment's margin profile increased to 8.7% compared to last year's 7.9%. Our All Other sales declined by 25.7%, driven mostly by the sale of our Display and Packaging businesses, but partially offset by the stronger volume mix and higher pricing. All Other operating profit decreased by 34.5%, due to the Display and Packaging divestiture and price/cost headwinds. Margins declined to 5.8% from the prior year's 6.5%. So for the total company, sales were higher by 4.6% and operating profit was relatively flat, resulting in a company-wide operating margin of 8.7% compared to last year's 9.2%. Shifting to cash flow, about halfway down the next slide, you see that our full year operating cash flow was $299 million compared with $706 million in 2020. While we did have various large noncash items related to our pension termination process, I am going to focus my comments on the most important drivers to actual cash flow. So first, during 2021, we contributed $125 million to our US and active pension plan related to the termination process of that plan. Another important driver was the year-over-year $158 million negative swing in cash flow from net working capital. During 2021, our working capital balances steadily increased, driven by increased business activity, inflation, as well as unique supply chain dynamics. I'll note that our increased working capital balances during the fourth quarter of 2021 is contrary to our historical trends. However, the current operating environment uniquely impacted our working capital balances, which is reflected in the higher year-end position. Moving down to our full year CapEx spend. Our net spend was $243 million in 2021 compared to $181 million in the prior year. This $62 million increase is mostly due to spending on Project Horizon. This takes us to 2021 free cash flow of $56 million compared to $525 million in 2020. I'll also highlight, that in 2021, we paid cash dividends of $179 million. On slide nine, you see that our balance sheet and our liquidity position remains strong, which did serve us well as we completed the Ball Metalpack acquisition in January. As a reminder, both Moody's and S&P affirmed our credit ratings in conjunction with this acquisition. So that concludes my review of our fourth quarter results. So I'll move into my review of our first quarter and full year guidance for '22. Beginning at the top of slide 10, you'll first see our reported first quarter and full year 2021 base earnings per share of $0.90 and $3.55 respectively. The following overview of our consumer peers and discussions with outside advisers, we've decided to treat amortization are intangibles as a nonbase expense going forward. So going forward, and including the Metalpack acquisition, approximately 50% of our sales are in our consumer segment. So we feel this change to our base earnings, represents a more clear view of our operational performance and improved comparability to our consumer peers. When removing this amortization expense from base earnings, our 2021 restated earnings per share are $1 and $3.93 for the first quarter and the full year of 2021 respectively. Our outlook for first quarter 2022 base earnings using the new definition and including our recently acquired Ball Metalpack business is a range of $1.25 to $1.35 per share. While our full year 2022 base earnings are expected to be between $4.60 and $4.80 per share. At the midpoint of these ranges we have added back $0.17 in the first quarter related to amortization expense and $0.65 is added back for the full year. This full year guidance represents a 20% increase over our 2021 restated base earnings per share and this increase is driven by both strong performance by our legacy businesses and by the addition of Ball Metalpack. Our 2022 guidance is based on the same key assumptions for our legacy business that we reviewed in early December at our Analyst Day. And in a few minutes Howard will provide additional comments about key drivers to our 2022 outlook including our strong start to this year. Specific to our acquisition of Ball Metalpack, I'll note that our 2022 sales are now expected to be between $7 billion and $7.3 billion, including the sales from the acquisition. Also we've increased our forecast for interest expense by $34 million to a new full year estimate of $88 million. In addition, we're providing an outlook for our full year EBITDA which is between $910 million and $960 million. Moving to slide 11 and our 2022 cash flow guidance. We are targeting to generate $715 million of operating cash flow and $390 million of free cash flow both significantly above our 2021 results. Similar to our base earnings, our key assumptions for our cash flow outlook are consistent with what we reviewed in December. However, we have now included the impact of what I'll call Sonoco Metal Packaging by including their EBITDA and CapEx spending as well as the incremental interest and income tax expenses which are roughly offset by the cash tax benefit we expect to receive related to purchase accounting. So that concludes my comments. So I'll turn it over to Howard. 
Howard Coker: Great. Thanks, Julie and good morning, everyone. Let me share my thoughts on our 2021 performance, provide you an update on our integration of the Ball Metalpack acquisition and talk briefly about what market trends we are starting to see in 2022. As I look back at all we accomplished last year I couldn't be more proud of our team how they work together to produce results which achieved the high end of our guidance despite unprecedented headwinds from storms, supply chain disruptions, inflation and the continuing effects of COVID. Demand recovered from many of our pandemic-impacted businesses with volume mix growing 3% for the year. We aggressively drove price increases to counter higher raw material and non-material inflation. And as Julie said for the first time since mid-2019, we achieved a positive price/cost relationship in the fourth quarter. We increased capital spending to fund more high-return projects including our $125 million investment in Project Horizon. We better focused our sustainability efforts including setting aggressive science-based targets to meaningfully reduce greenhouse gas emissions over the next decade. We simplified our portfolio by exiting the Display and Packaging business and recently added Ball Metalpack which further expands our sustainable consumer packaging offering and as Julie noted will be immediately accretive to base earnings and cash flow. Finally, we returned a record $400 million in cash to shareholders through dividends and share repurchases. Now back in December at our Analyst Meeting we outlined our value creation strategy which is focused on being the benchmark company for yield and stability in our industry. To meet our financial targets of $1 billion of annual EBITDA by 2026 without acquisition, we're focusing increased investment in our core consumer and industrial businesses and consolidating around a uniform operating model to expand our competitive advantage, while simplifying our structure to improve efficiency and effectiveness. As part of our investment in our sales actions, we expect to spend around $325 million in 2022 to further accelerate growth and drive productivity savings. Just this week our Board of Directors approved approximately $20 million in capital to expand two of our Flexible Packaging facilities. As a reminder our flexible business achieved record top line and bottom line performance in 2021. To further growth this business is focused on developments around key capabilities including complex laminations cold seal pouching lidding and specialty finishes such as precision scoring and specialty coatings. At our Edinburgh, Indiana facility we'll be installing a new rotogravure press along with the 3-ply adhesive laminator. This new rotogravure press and laminator they are extremely efficient and able to run at speeds that are nearly 65% faster in some existing equipment and it will allow us to take our new business as we have become capacity constrained. In addition, this new equipment has many sustainable attributes. This includes reducing at least 515 tons per year of greenhouse gas emissions while increasing our use of recycle-ready monofilm laminates for our EnviroFlex line of more sustainable products. In Elk Grove, Illinois, we will be installing a new state-of-the-art flexographic press which will replace two 20-year-old machines. This press will produce significant productivity savings enable us to expand production of peelable and resealable lidding products across multiple food markets. Now let me switch gears and talk briefly about our January 26 acquisition of Ball Metalpack. We were extremely pleased to have been able to complete the acquisition early and have jump-started the integration process. Sonoco and the Ball Metalpack are a clear strategic fit. The business complements our largest consumer packaging franchise, our iconic can business and closures division. And combined Sonoco's can-making operations are expected to produce approximately $2.4 billion in global sales this coming year. This combination allows us to progress towards our objective of fewer bigger and better businesses and our focus on stable defensive high cash flow businesses. We're extremely excited to welcome 1300 experienced associated -- associates into the Sonoco family and I personally have had the opportunity to visit each of the eight facilities since the closing to help kick-off the integration process. There's a lot we have in common including incredibly talented and experienced teams, who are operating well-invested state-of-the-art equipment, utilizing the latest technologies. We've also had an opportunity to speak with many of our new customers. Many already know Sonoco and they are pleased to be working with an experienced global food packaging company. The Ball Metalpack name has been changed to Sonoco and the business' financial results are expected to be reported in our Consumer Packaging segment. Jim Peterson a 15-year leader in the industry is remaining as President of the business and tenured management team also plans to remain. We have brought in a third-party expert to assist us in the integration process and the focus is on achieving the realistic synergy targets of $20 million of savings over the next three years. The key focus of our integration is keeping a people-first mentality, maintaining stable operations and meeting the financial targets we have laid out today, while sustaining a high level of customer satisfaction. In closing, we're extremely optimistic entering 2022 and our core consumer and industrial businesses are well positioned to achieve a 20% year-over-year improvement in base earnings per share. As far as business activity we had seen a very strong start in January across our entire portfolio. Demand for our global industrial products have recovered and several of our businesses in the All Other group which has been impacted by supply chain interruptions are seeing improvements and we're continuing to take actions to improve productivity and profitability. Finally, our ThermoSafe cold chain packaging business remains busy in the first quarter providing temperature-assured shippers for transporting COVID vaccines. Our efforts to recover higher costs continue to gain traction. We implemented necessary price increases effective January 1st and we recently announced additional price recovery efforts to go into effect in March, in both industrial and our consumer businesses. We will remain diligent to stay ahead of the price/cost curve and expect strong cost recovery as the year progresses. Sonoco's purpose is better packaging better life. This means, we're committed to creating sustainable packaging solutions that help build our customers' brands and help, enhance their product offerings and improve the quality of life for people around the world. We remain committed to returning cash to our shareholders and believe our value creation strategy will make Sonoco better than ever. Now, with that operator, we would be pleased to review any questions and if you would go through the Q&A, procedures.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mark Weintraub with Seaport Research. Your line is open.
Mark Weintraub: Thank you. Thank you first for the very thorough details et cetera. Two questions, one was you mentioned the end of December there were some slowing at least in some of the businesses and yet you're also talking about January now being very, very strong. Could you give a little bit more colour perhaps on what that shift has been? And if there's any more specificity in terms of volumes or whatever else might be useful for us to gauge how strong January is coming out? That would be terrific. And then, just the second question maybe somewhat relatedly is, you also in your 2022 guidance laid out some very impressive step-up in EBITDA expectations, pretty big range the $910 million to the $960 million. What would be the key determinants do you think on where you're likely to come out on that range? Is it mostly on the volume side? Is it on the amount of pricing you get relative to the cost, or what do you think is the key driver and where you're likely to come out in that range ultimately?
Howard Coker: Thanks Mark, and I appreciate you joining us. Let me say at the end of December, December was a bit of a surprise. We came in to our Analyst Day expecting a relatively strong second half of December and we sold just the opposite. We saw pull back most of which I will say was related to COVID and/or supply chain issues that our customers are feeling. So we have some specific situations -- that surprised us, where customers could not source the necessary raw materials they needed. So yeah, we saw December slowdown and felt like it was anomaly related to the supply chain type issues that we all are fully aware of. And as we enter January that was -- my comments were really in December around specific unique customers. But as we enter January we're strong in every portion of our business and almost on a global basis. So we're seeing good volume. But of course as we've talked over-and-over again prices is really starting to roll in. And we're starting -- as Julie noted enough and my commentary noted that the first time price/cost positive was in December. And we're seeing that roll in more significant and meaningful way as we enter this year. So we haven't closed January, it will be another day or two. But what we're looking at right now is strong volumes supported, but a really nice pickup in terms of price. In terms of the EBITDA for next year, I'd say, I could bucket it to really two main categories. Yeah, price cost and finally getting caught up to where we need to be. And productivity is going to be strong in general for next year. So those are the two drivers and of course the incremental improvement coming from Ball Metalpack.
Mark Weintraub: Great. And maybe if it's fair one last follow-up, on the kind of volume expectations organic so not with Ball Metalpack. What do you think is a reasonable starting point for expectations?
Howard Coker: Well, right now for the legacy, we're looking at a very modest 1% across the board. And that's going to vary among the three segments that we have today. The fall, we're expecting that the food can business is going to see a slight tick downward. But what's interesting about this acquisition is 35% of the turnover represents aerosol where we are seeing an actual -- a pretty nice recovery as we go into the year -- this year. It's somewhat surprising the COVID impact as we looked at our participation in similar markets being our adhesives and sealants the center of the aisles and the big box retail outlets, the acquisition participates heavily there as well. And last year there was so much supply chain disruptions in discrete chemicals, et cetera, that we're seeing good recovery on the acquisition side and we're seeing good recovery on a parallel basis in our adhesives and sealants business. So maybe more than what you asked for, but about 1% and we're saying that Ball in total between aerosol and food are going to be up slightly. 
Mark Weintraub: Much appreciate it. I’ll turn it over. Thank you.
Operator: Thank you. Our next question comes from the line of George Staphos with Bank of America. Your line is open.
George Staphos: Hi, everyone. Good morning. Thanks for all the details. Congratulations on closing the acquisition. I wanted to just maybe if we could take a different tack on sort of the earnings guidance for the year. Correct me if I'm wrong, I want to say that, going into this year the guide was for around $3.90. That was on the prior base and then we're at basically $4.60 to $4.80. Can you help us parse between the amortization and add back the improving volumes and productivity in the legacy and the ongoing Ball Metalpack or now Sonoco Metal Packaging, how you bridge from what was the prior guide to the current? And then I had one quick follow-on and then one sort of bigger picture question.
Howard Coker : Right. I'm going to ask Julie to kind of the question.
Julie Albrecht: Absolutely. Yes. Hi, George. Yes, so you're right, really the starting point is for the legacy business and what we talked about in December, which is the $3.90 for this year. The add back of the amortization for the legacy business is $0.35, right? So that's about $46 million of amortization expense pre-tax. Then we layered in our estimates for Metalpack call it a midpoint-ish of $0.45. So, again, that is excluding any amortization related to the purchase accounting, which obviously is very much still in process. So anything embedded in that related to purchase accounting is a best estimate at this point. I guess, what's important to note there is that $0.45 does include the incremental interest expense that we've estimated for the funding of the acquisition. So, on a gross basis as in pre-tax that interest expense is kind of in that $35 million range or about $0.25 per share. And so anyway, so when you piece all that together again the $3.90 plus to $0.35 that gets you to an adjusted legacy Sonoco of $4.25. And then again, our estimate right now call it midpoint of a range is $0.45 again net of interest and including our estimated purchase accounting now for Metalpack and again all up to $4.70.
George Staphos: Thanks, Julie. I guess, within that so you wind up more or less in the middle of the range and yet you've had a really good start to the year, which would suggest that at this juncture and I don't want to put words in your mouth you're probably trending to the upper end of your range. I recognize it's only February, it's not December. But what are you if you will putting some -- if you agree with the premise, putting some cushion in your model for relative to only being in the middle of the range when it looks like you're starting out kind of with -- kind of an upward bias if you will? And then my bigger picture question. Recognizing that SMP is an add-on to your can business the former owner a number of years ago when they bought US Can, which got them into the number one position with aerosols had a bit of a learning curve on the aerosol business and with that customer base are there any contract renewals, or are there any change in control provisions that you have to be mindful of? And just tell us in general, is there anything different about the go-to-market and the contractual piece of that business that maybe you want to provide some cushion forward that we should be monitoring over time? Thank you guys and good luck in the quarter.
Howard Coker: George, I wish I could take a great amount and multiply it by 12 and tell you what the year is going to look like but unfortunately...
George Staphos: That's what we do Howard. 
Howard Coker: I know that's what you guys do. Just we -- look it feels good to start out the year. And as I look to the quarter, we're very bullish. Let's put it that way. But who knows what's going to happen, be it macroeconomics in general, Omicron or the next variant, just really hard to say. So I'm just going to just to say let's stick with our midpoint. And frankly, the other part of it is we have only literally Ball Metalpack two weeks to the day. So we've got some learnings there as well in terms of some of the assumptions. I will say that our deal model did overlay very nicely with what they internally were forecasting for the year. But we've got work to do there as well. So I'd like to tell you that we're way on the upside but I don't think that would be responsible at this point in time where we are in the year. On the aerosol side, first as it relates to the contracts, good shape there. They've got first off multi-decade relationships with all of the major customers. There are no major contracts that we're looking at least in 2022. And frankly, when you talked about change in control no issues there as well. Probably more importantly is as we look at the customer base on the aerosol side and I hate to keep going back to it, but the sealants business we don't talk about that much, but that's the caulking cartridges. I'll name a brand maybe I shouldn't but LIQUID NAILS to help you define or adapt type products. We are the largest player in that segment. And as I link the customer base on the aerosol side, it's an impressive number of same customers. So effectively we're walking into and I will not name customers, but we're walking into these major CPGs that we know extremely well with -- that have had in our case multi-decade relationships with a great deal of appreciation and support when we're walking these doors. And frankly, I can say that on the food can side. When we walk in, these are customers that know them. If they don't know it's from our own non-process can supplier closures business, they know us from our flexibles business, they know us from our plastics businesses. And so when we walk in I can just simply say that every customer that I've spoken to, Rodger Fuller has spoken to more than his fair share, they are extremely excited to see Sonoco into this part of their supply chain. 
George Staphos: Thanks for the thoughts, Howard. Thank you, Howard, thank you, Rodger, thank you, Julie.
Howard Coker: Thanks.
Operator: Thank you. Our next question comes from the line of Adam Josephson with KeyBanc. Your line is open.
Howard Coker: Hey, Adam.
Adam Josephson: Thanks. Good morning, everyone. Hope you are well. Howard or Julie, can you just update us on the Ball Metalpack sales and profitability. When you announced the deal, I think estimated sales last year were 850. You said this morning they were 837. Was the EBITDA in line with what you expected in your acquisition presentation above below? And then how much growth in EBITDA are you expecting in that business this year in terms of EBITDA just as part of the $0.45 of acquisition accretion that you're expecting after adding back amortization?
Howard Coker: Adam, I'll touch on the first part and Julie can get into the numerical side of your question. But yes, we announced based off of their 2021 forecast, but we have clear visibility of what's to come. And so that's really what we baked into our overall models and ultimate price. And a lot of that was around what I tried to get across during our announcement, December 20th or so, that -- and I just want keep reminding that, they have spent somewhere in the neighborhood of $200 million over the last three, four years, recapitalizing across the board, consolidating, recapitalizing, doing the right things, very impressed with how the business had been managed over prior years. With that came pent-up productivity opportunities. I noted again, when we announced, when you're starting up new assets in the fourth quarter of the year, they're not going to generate meaningful benefit in that year. So, we saw that coming. We built that into the model. Talking about productivity, but there's also new customer acquisition as well. That was capitalized, equipment starting up, they weren't seeing the benefit last year that we clearly were able to identify and see that benefit come in a few years. So, it was a combination of things that, yes, when we announced, the multiple was high on a base after tax benefits, it was more reasonable. And then we compared it with what we saw the go forward look like and it became an extremely reasonable price point for us to reach. So, with that, I'll ask Julie, if she can give you some more firmer numbers in terms of what we're looking at here.
Julie Albrecht: Yes, sure. Thanks, Howard. Hi Adam. Yes, I mentioned in my comments, our updated outlook for this year's sales are in that $7 billion to $7.3 billion range. And so, again, if you think back to Analyst Day in December, legacy Sonoco, we were around that $5.8 billion. And so, if you take that and I think now we'd say that's probably, hopefully a little on the low side, but nonetheless, call it $5.8 billion to $6 billion legacy Sonoco. So then that you can imagine, means that, we're expecting for the new metal packaging business kind of in that $1.2 billion to maybe slightly higher than that. And I guess just to remind everyone, of course, all these numbers we're talking about today for the acquisition are for 11 months. And so again, we -- that's -- again, these are not full year numbers, but they're close to full year numbers. And then just kind of moving into EBITDA and I don't know that we've said this really yet, but again really because of various things that Howard just mentioned kind of in that -- from the acquisition, adding in, in that kind of $130 million range of EBITDA. And again, that's on top of kind of $8 million to $10 million that we're expecting from the legacy business.
Adam Josephson: Thanks, Julie. And just related to that, that $130 million, does that embed any kind of onetime price/cost benefit? Obviously, tinplate prices are going to be up a huge amount this year. Can you just help us with the whole price cost issue? How much of the expected growth from '21 to '22 in terms of the EBITDA is price/cost? And is that sustainable? Just, can you help us understand that issue, just given what some of the other companies in the sector are reporting along those lines?
Howard Coker: Yes, Adam. First off, super hyperinflation across steel, across the line and frankly others that we saw through the year. But also there was a huge supply chain issue as well in terms of inventory and inventory availability. There's certainly some of that in here. But as I look across the company, we have that in our can business, our legacy business, as well as others. So, as I said earlier, we've owned the business for two weeks, definition of how this is all going to materialize, we'll be learning as we go. There'll be some benefit for sure. But again, I want to take you back to my earlier comments about the pending pent-up opportunities that are ahead of us from a go-forward basis. And I'm talking about into late 2022, 2023 that are going to continue to produce the type of numbers that we've modeled through the acquisition process.
Adam Josephson: I appreciate that. And just Julie, one last one. Can you just -- back to George's question about the bridge from your last guidance. Did your base business assumptions change at all from the $3.90 to the $4.70 the midpoint? And if so, can you help quantify that at all?
Julie Albrecht: Yeah. Really, not dramatically, I mean, we did have maybe minor moving pieces around our buckets. But as we've already talked about, our sales volume growth is still around that 1%. We remain very bullish about price/cost, but we've baked that into the guidance. And so, really materially no, we're pretty much aligned still with what we talked about in December.
Adam Josephson: Thanks so much, Julie.
Howard Coker: Thanks, Adam.
Julie Albrecht: Thank you.
Operator: Our next question comes from the line of Ghansham Panjabi with Baird. Your line is open.
Ghansham Panjabi: Yeah. Thank you. Julie, maybe just as a follow-up to Adam's question on the guidance construct. So in your December meeting I think you pointed towards $0.25 contribution from favorable price/cost. I know, it's early in the year, but oil has moved up and many others are calling out inflation pressures, whether it's labor and so on. And I'm just curious on the price cost, has that assumption changed materially just given what you're seeing at this point with the energy inflation? And then productivity of $0.31 post-Omicron has that changed at all in any significance?
Julie Albrecht: Yeah. No, again I just really say not materially. We're still – I think, we're obviously watching inflation very closely. And obviously, it's going to continue this year. But so do our pricing increases, again, across the business both contractually and open markets. So we've already had really quite a few price increases as we've started this year, and a lot of that was expected. So yes, so again I'm going to say, as we sit here today, the same – your $0.25 your $0.31 are still good estimates for those earnings drivers.
Ghansham Panjabi: Thank you. And maybe a question for Howard, in context of consumer inflation which is pretty significant highest in 40-some-odd years. You have a large consumer portfolio yes it's very much aligned towards consumer staples. But as you think about the sub-verticals within your consumer business, including Ball, how do you see this sort of playing out in terms of any impact from elasticity as your customers are also pushing through these very, very significant increases on the pricing side?
Howard Coker: Really, Ghansham, it's hard to say. What I will say is that, when wallets the spending capacity of individuals decrease we've normally benefit from that in terms of less being at home more consumption. I mean, excuse me, away from home more consumption at home, but I really don't know how that's all going to play out. But again, if worst-case scenarios happen then we fall into a much slower type economic environment, you typically find that that's a positive for the products in our portfolio. So people are going to walk away, because look everything is relative right, everything is inflating. So we don't see it from a share position as much as are we going to see more consumption from value drivers for people buying in retail versus eating out et cetera.
Ghansham Panjabi: Okay. Thanks so much.
Operator: Thank you. Our next question comes from the line of Josh Spector with UBS. Your line is open.
Howard Coker: Hey, Josh.
Josh Spector: Yeah. Hi. Thanks. Hey. Thanks for taking my question. So just one on free cash flow. Just curious what would be your expected uses for the next few years? I mean, your guidance alone has you kind of getting down to the high twos from a leverage perspective. Do you feel the need to pay down gross debt from here, or do you use cash elsewhere?
Howard Coker: Our priorities are fairly similar. CapEx as we've already defined through the opening narrative. Dividend is extremely important to us and we are going to be focused as Julie noted, our ratings or have maintained themselves, and we intend to pay down debt, and reload powder at this point in time. So it's really those three categories: CapEx dividends and bringing down debt.
Josh Spector: Okay. Thanks. That's helpful. And just on ThermoSafe you guys noted a record quarter. There's been a lot of movements over the past couple of years in terms of where that business goes. Just curious based on what you're seeing in terms of new wins. And if we get to a point, where there is say an annual vaccine for COVID, or whatever that maybe does that grow the market significantly for you, or because of the sales over the last year it starts to become similar?
Rodger Fuller: Yes Josh, this is Rodger. Yes, fourth quarter volume was strong as we've already said. We shipped over 0.5 million or sold over 0.5 million shippers for COVID vaccines in the quarter. We expect that to continue into the first quarter. A lot of the current providers of the vaccines are looking at some kind of combined flu/COVID vaccine. As you know we shipped half of the flu vaccines every year in the United States and some in Europe. So we feel like that's upside and the team is winning good business in other areas around biologics. So we see that volume continue to be strong as we head into 2022. 
Josh Spector: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Mark Wilde with Bank of Montreal. Your line is open. 
Howard Coker: Hi, Mark.
Mark Wilde: Good morning, Howard. Good morning, Julie, Rodger.
Julie Albrecht: Hi.
Mark Wilde: I wanted to just come back to food cans for a couple more minutes. First Julie is it possible for you to give us a sense of what your expectations are for both CapEx and for the food can volume piece of Sonoco Metal Packaging? 
Julie Albrecht: Yes. I will say that we have layered in $25 million into our kind of original $300 million guidance that we talked about in December. So you can imagine we're going to be actively starting to talk more about that with the Metalpack management team literally next week and I know Howard and Rodger have already had some of those discussions. So anyway that's an estimate at this point, but we obviously going to be footed I guess about investing in that business for growth and productivity and then I'll turn it over to Howard for I think volume a little more on volume Mark? 
Mark Wilde: Yes.
Howard Coker: Mark was the question what are we building in for volume for this year? 
Mark Wilde: Yes. 
Howard Coker: Yes, the can side I think slightly down maybe 2% from prior year. And then on the aerosol side, which as a reminder makes up about 35% of the business it's in that let's call it between 4% and 6% type of increase as it relates to what I shared earlier. And frankly we did -- to repeat myself we correlated what we saw at our adhesives and sealants business with the lack of raw materials availability last year same customers, similar customers. It's a bit of a rebound if you will on the aerosol side. 
Mark Wilde: Yes. I guess Howard I just as a follow-up on that volume in food cans two things strike me. One is that your biggest competitor in that market is pointing to basically mid single-digit declines in 2022 because you had a huge year in 2020. And then you had a good follow-on your last year's packers rebuild inventory. And then the other element that I'm wondering about is I think that Ball Metalpack sold a lot of cans last year to another competitor who has since added capacity. So I'm just trying to figure out between the market being down and you not having these sort of third-party can sales this year to another player in the market whether a 2% volume decline is enough of a volume decline. 
Howard Coker: Yes. I'm fully aware of that going into our discussions around this acquisition that there was a lack of available capacity and there was a large player out there by not only domestically, but internationally. That's built into it. Now as we look customer by customer and we look at share position and other opportunities and I did note there's new volume that is directly related to food can but not in the food can area. Well that was a counter way of answering a question, but there's a new customer that has been picked up last year that we're still ramping up on. And I'll just leave it at that. I don't want to get in too much detail about it. 
Mark Wilde: Yes. Yes that's fine. That's fine. Just one other thing about food cans. Now that you own the business how do you think about the potential for either further consolidation in North America versus growth outside of North America? And how far would you be willing to stretch for moves in either direction? 
Howard Coker: Mark great question. I think it's part of our traction to the business that we do think it's important that -- for the industry. We saw the same thing frankly in our paper can business back in 1980s and 1990s where a lot of folks were leaving the business because it wasn't core to them. We feel like there's opportunities for us to lean into this more, but our focus right now is leaning into the assets that we have just acquired. And we'll just see what happens. There's a lot of churn globally. But right now our focus is on the successful integration of the assets that we have had two weeks under our portfolio.
Mark Wilde: Okay. Fair and good start. Thanks Howard.
Howard Coker: Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Gabe Hajde with Wells Fargo. Your line is open.
Howard Coker: Hey, Gabe.
Gabe Hajde: Good morning, Howard, Rodger, Julie. I hate to harp on Sonoco metal packaging yet again. But I'm kind of getting to or trying to understand I guess in the first quarter and looking at seasonality of Sonoco historically and that Q1 is typically the smallest earnings quarter yet the implied guidance kind of seems to suggest lower earnings. And then again, this is kind of despite the fact that Q3 should be a little bit bigger with the vegetable harvest impact. So I'm curious, I guess the explicit question is, are you embedding anything in Q1 for metal gains or lower cost inventory that got carried over that will be sold at a higher price in Q1.
Julie Albrecht: Yes. Hey, Gabe. Yes, absolutely. I mean price cost in Q1, really is a key driver to profitability and our outlook. So we obviously -- we have an outlook preliminary for the balance of the year and again are just beginning to scrub the metal packaging numbers really beyond Q1 with that team. But yes, absolutely Q1 is very solid from a price cost perspective. And you're right about that, right? We're bringing in and selling inventory that was purchased at lower prices last year, especially from a steel perspective. So, I'd say more to come as we continue sharpening our pencil with the new business and how we see that outlook for the year. But again, you are right that as we start the year we have a lot of -- some nice price cost upside here in the first quarter.
Howard Coker: Yes. And Gabe, let me just expand on that. And that's across our portfolio. So -- but let me get back to -- I think a big part of your question was seasonality. One of the other aspects of this, if you look at our legacy non-process can business, its strongest period is in the end of the third quarter, beginning of the fourth quarter. That was not missed on us as we looked at the seasonality of this business on the food side, not -- the aerosol is fairly well flat throughout the year that we're going to see a benefit, I think from a seasonality perspective in the can business that will be stronger in those spring-summer periods where we are relatively weaker and our legacy non-process business. So, actually as we pull these two businesses together, we see a more smoother relationship on an annualized basis.
Gabe Hajde: All right. Thank you. And then I guess, I know it's somewhat real time, but I've seen some announcements from some of the large auto manufacturers, I know it's a small business within All Other. But turning off some vehicle production and then with the trucker issues that we're seeing in the US-Canadian border, anything embedded in Q1, or I guess again real-time thoughts on how it could impact that business in All Other?
Rodger Fuller: Okay. This is Rodger. No, we don't have that included in our guidance. We've been pretty conservative on the number of vehicles sold in the US as we rolled into 2022, based on our supply from our molded foam group. So, I wouldn't see any major impact to the first quarter. But it is still a challenge. It is certainly still a challenge and we've also seen some challenges in the white goods industry, which is our paper-based protective business that sells into the white goods industry. So we've seen some challenges there. But, it's all built into the guidance. I don't think you'll see anything unusual. 
Gabe Hajde: Thank you. Good Luck.
Howard Coker: Thanks.
Operator: Thank you. We have a follow-up from the line of Adam Josephson with KeyBanc. Your line is open. 
Adam Josephson: Howard, Julie thanks for taking my call. Just one on -- back to the consumer businesses. Howard, how do you think about the COVID impact on demand in both the legacy consumer business and the Sonoco Metalpack business and how they might differ in -- because we're obviously seeing CPG volumes normalize in recent months? And I'm just wondering, if you think Sonoco Metalpack was any greater beneficiary from COVID than your legacy consumer business. And how that played into your thinking in terms of the acquisition? 
Howard Coker: Adam, it's hard for me to really -- to answer that. Let me give it a quick thought here. What I would -- well what I would say is that, when we did see the strongest period I guess end of mid last year so -- on our consumer business. What we're happy with, pleased with, what we said at the time, is this a one and done. As we look and compare this coming year to 2019, we're actually seeing exactly what we had expected or what we had hoped. It was what our customers were telling us that new consumers have now found the space, and there's going to be a sustainable tick up. And yes we're still kind of in COVID but I'm really pleased to see that from 2019 to our forecast into 2022, we're actually ahead of where we historically had been. So that's kind of holding true. In fact, we also have certain businesses that continue to increase such as our trade business related to that, as well as, new business awards. And as it relates to the metal side of the business, the multiple years we look back, there were a couple of categories that jumped significantly. You can think of products that were for disinfectant. And yes, those are going to come down and then we model those down accordingly to more traditional levels as we went through the due diligence parts of the acquisitions. So I've already talked about what we expect for next year and feel very comfortable with that.
Adam Josephson: And I appreciate that. And just one other question on the accounting change, which is what you'll report in terms of adjusted EPS is, a form of cash EPS if you will. And obviously, investors can see your free cash flow, so they know what you're doing in terms of free cash flow. So I guess why the need to report, something like a cash EPS, which distorts PE multiple comparisons to where you've traded historically, as well as, to some of your peers that have not made this change to exclude amortization of acquisition intangibles.
Howard Coker: When we looked at that Adam particularly, as we surveyed and looked out at our consumer peer group, and found that we're anomaly and not reporting, as we are starting to report. So I think it's important. I've actually seen analyst reports where comparing performances, on a percentage basis over periods of time. And maybe not realizing that one is recognizing intangibles and the other is not. So it just felt like we wanted to be aligned with -- as we've grown our consumer business to over 50% of our portfolio to be aligned in that way. And a secondary issue is, we really couldn't be talking to you intelligently about the impact of the BMP acquisition today being two weeks into it and purchase accounting, is not going to be completed for some period of time now. So it felt right in terms of, aligning ourselves up with the rest of our peers. And it felt like to be able to have this conversation with you guys, of how material we're looking at this acquisition to be.
Adam Josephson: Thanks so, Howard. Best of luck in the quarter.
Howard Coker: Great. Thanks
Operator: Thank you. I am showing no further questions in the queue. I would now like to turn the call back over to Roger, for closing remarks. 
Roger Schrum: Thank you again. Let me thank everybody for joining us today. We certainly appreciate your interest in the company. And as always, if you have any further questions please don't hesitate to reach out and contact us. Thank you. 
Operator: Ladies and gentlemen this concludes today's conference call. Thank you for your participation. You may now disconnect.